Operator: Good morning and welcome to the American Express Global Business Travel Third Quarter 2022 earnings conference call. As a reminder, please note today’s call is being recorded. I will now turn the call over to the Vice President of Investor Relations, Barry Sievert. Please go ahead, sir.
Barry Sievert: Hello, and good morning everyone. Thank you for joining us for our third quarter earnings conference call. This morning we issued an earnings press release, which is available on the SEC and our website at investors.amexglobalbusinesstravel.com. A slide presentation, which accompanies today’s prepared remarks, is also available on the Amex GBT Investor Relations web page. We would like to advise you that our comments contain forward-looking statements that represent our beliefs or expectations about future events, including the duration and effects of COVID-19, industry trends, cost savings and acquisition synergies, among others. All forward looking statements involve risks and uncertainties that may cause actual results to differ materially from the statements made on today’s conference call. More information on these and other risks and uncertainties is contained in our earnings release issued this morning, our registration statement on Form S-1 originally filed on September 9, 2022, the related prospectus filed on October 3, 2022 and our other SEC filings. Throughout today’s call, we will also be presenting certain non-GAAP financial measures, such as EBITDA, Adjusted EBITDA, Adjusted EBITDA Margin, Adjusted Operating Expenses and Free Cash Flow and Net Debt. All references during today’s call to such non-GAAP financial measures have been adjusted to exclude certain items. Definitions of these terms and the most directly comparable GAAP measures and reconciliations for non-GAAP measures are available in the supplemental materials of this presentation and in the earnings release. Participating with me on the call today are Paul Abbott, our Chief Executive Officer, and Martine Gerow, our Chief Financial Officer. Also joining for the Q&A session today is Eric Bock, our Chief Legal Officer and head of global M&A. With that, I will now turn the call over to Paul. Paul?
Paul Abbott: Thank you, Barry. Welcome and thank you for joining us for our third quarter earnings call. I’d like to kick off by reviewing the third quarter highlights before turning it over to Martine to take us through the financials. We reported strong third quarter revenue and earnings. Revenue totaled $488 million, up 147% over Q3 2021. Revenue recovery for the third quarter reached 72% of 2019 levels, up 7 percentage points from the second quarter. Our Adjusted EBITDA was $41 million, with a fall-through on year-over-year revenue growth of 67% of pro forma 2021 levels. These strong financial results are driven by the continued recovery in business travel, share gains and our increasing momentum in the SME segment. Transaction recovery reached 71% of pro forma 2019 levels in the third quarter, up two points versus 69% in the second quarter. As expected, travel demand strengthened meaningfully in September. Post-Labor Day demand drove a 43% increase in transaction volume from July to September to reach the strongest volumes we have seen throughout the recovery. The momentum continued in October with transaction recovery at 76% of 2019 levels. The continued business travel recovery, our share gains and strong momentum in the SME segment give us confidence to reiterate our full-year revenue guidance of $1.8 billion to $1.85 billion and full-year Adjusted EBITDA guidance of $90 million to $100 million. Amex GBT has a significant runway for growth, and our new wins momentum shows that we are delivering on this growth opportunity. New Wins Value over the past twelve months totaled $4.1 billion, representing 11% of our 2019 TTV. We also continue to accelerate our SME wins. In the SME space, we benefit from offering a choice of market leading solutions - Amex GBT, Egencia and Ovation in a very large, unconsolidated segment with the fastest growth and highest margins in the industry. Our SME New Wins Value over the last twelve months totaled $2.5 billion, with approximately 25% by value and 50% by number of customers coming from customers whose travel programs were previously unmanaged. These new wins really demonstrate the value of our industry-leading service, technology and savings, which are creating even more value in today’s environment of greater travel complexity and higher prices. Finally, our customer retention rate over the last twelve months through the end of October 2022 remained stable at 95%, and customer satisfaction levels also remained very high as we supported customers through a period with increased levels of industry disruption. As we’ve discussed before, we expect $109 million in total Egencia synergies. We remain on track to exceed the expected synergies target of $25 million in 2022. Based on actions completed to date, we have already achieved 70% of the expected synergies. Turning to our cost savings, 80% of our $235 million permanent cost savings initiatives have already been realized. Looking ahead, I’m pleased to say customers remain positive about their travel budgets for Q4 and into next year. The continued business travel recovery, new wins momentum, SME growth, permanent cost savings and the Egencia synergies position us well for long-term Adjusted EBITDA growth and margin expansion. So, let’s take a closer look at the continuing recovery. Transaction, TTV and revenue recovery all continued to improve in the third quarter. Transaction recovery was 71% of 2019, this includes a softer July and August period, which was impacted by supply constraints and higher levels of disruption at airlines and airports. But post-Labor Day, bookings increased significantly as companies continue to reconnect with their distributed teams and customers around the world. The outlook for business travel in the fourth quarter also remains solid. As previously mentioned, October transaction recovery reached 76%, on a workday adjusted basis. So now, let’s look at the recovery trends in more detail. You’ll see SME customers continue to lead the recovery. In the third quarter, SME transactions were 19 percentage points above Global and Multinational and reached 80% of 2019. In the third quarter, for the first time in the recovery, our international bookings recovery level exceeded the domestic recovery driven by restrictions around the world being relaxed or removed. However, there were still markets around the world yet to fully open in Q3, which provides additional opportunity for growth in the fourth quarter and into 2023. Looking at the product mix, increasing the ratio of hotel to air bookings is a significant opportunity, we are making good progress through improved hotel content and hotel displays in our Egencia and Neo platforms. As the recovery has progressed, we’ve continued to see our hotel recovery outperform air. Hotel transaction recovery was 12 percentage points above air in the third quarter. And finally, on a regional basis, despite China having not yet fully reopened, our Asia-Pacific volumes have dramatically improved since January of this year and are currently our highest recovered region, primarily driven by the very strong recovery in Australia and India. EMEA volumes have also rebounded strongly. We did see a slower summer in EMEA, but September volumes were 77% recovered, three points above the second quarter. Within the Americas, Canada has been slower to recover, with travel-related restrictions removed on the first of October we will see some improvement in Q4. The US recovery continues to improve We are the leader in a very large and fragmented $1.4 trillion industry with a significant runway for growth. We continue to gain share with $4.1B of new sales and a 2.5 win loss ratio, consistently gaining share. The biggest growth opportunity is with SME customers. This is a large and underpenetrated customer base with a total opportunity of $945 billion. We are the number one SME player in managed travel, but only roughly 30% of the $945B is actually managed today. We’ve signed $2.5B of new SME wins value over the past twelve months through October 2022. Of this, approximately 25% by value and 50% by customer number is from companies whose travel programs were previously unmanaged, really demonstrating that we are gaining traction converting unmanaged travel spend to managed travel spend. So globally, our new wins value and our strong customer retention rate underscore the value we deliver to our customers. And, our SME new wins value and recovery rate demonstrate our growing momentum in this faster growing, higher margin segment. So, let’s move on to talk about our product and technology innovation. 74% of our transactions come through digital channels so our product and technology investments power our customer value proposition. I would to highlight some of the new features we launched on the Egencia platform in Q3. In today’s travel landscape, where plans can often change, we are putting more power into the hands of travel managers and travelers. We introduced an upgraded user interface in the mobile app to dynamically present the user’s most important content, such as trip approvals and trip changes. Our new trip guide enhancement instantly connects the user to the most relevant information. The new push notifications mean that travelers receive vital updates, such as flight delays or schedule changes, and approvers can get trip approval requests for instant approval direct on their mobile device. And finally, we’ve made enhancements to enable full change requests on the mobile device without even leaving the app. It is always good to see customers recognize the - and value the experience. Egencia earned 15 G2 Leader Badges this fall. G2 is the largest and most trusted peer-to-peer review site. More than 60 million people and Fortune 500 companies use G2 to make software decisions on an annual basis. In addition to the mobile enhancements on the Egencia platform, we also introduced significant enhancements to our re-shopping, disruption management and sustainability capabilities in the third quarter. So, to sum up, our third quarter performance provides yet another proof-point of our continued strategic, commercial and financial progress. That completes my review of the third quarter highlights... I would like to hand it over to Martine to discuss the Q3 financial results and our forward-looking expectations. Martine, over to you.
Martine Gerow: Thank you, Paul. And hello, everyone. As you heard from Paul, we continue to make strong progress against our strategic and commercial priorities. And our financial performance was also strong in the third quarter, with sequential improvements on four key metrics, transaction recovery improved by 2 points, revenue recovery improved by 7 points, adjusted EBITDA fall-through improved by 4 points, and we reduced our cash usage by 36% as compared to Q2 2022. Let me now turn to our third quarter results on a reported basis. Year-over-year, Transaction Growth was 207% in the third quarter. Total Transaction Value increased 270% to a total of approximately $6.6 billion. Average transaction value increased 21%, largely driven by the strong recovery in international bookings. Our third quarter revenue increased 147%, to a total of $488 million. Travel Revenue was up 224% in the third quarter, above transaction growth, and Product and Professional Services Revenue increased 29%. Within Product and Professional Services, Meetings and Events revenue drove over half of the growth, as demand for internal and external meetings and events continued to rebound strongly. As shared on previous calls, growth in management fees was more limited as compared to 2021, because this revenue component was relatively protected from the reduction in demand from COVID-19. Adjusted Operating Expenses increased 64% in the third quarter, which compares favorably to a 147% increase in revenue. As a result, we delivered $41 million of positive Adjusted EBITDA for the third quarter, an improvement of $116 million year-over-year. And Free Cash Flow improved $5 million to a total of negative $112 million. This was driven by the reduction in operating loss, which was largely offset by cash utilized to build back working capital to support the 35 point increase in transaction recovery between third quarter 2021 and third quarter 2022. Now, let’s look at our third quarter results versus third quarter 2021 pro forma for the Egencia acquisition. Results for the third quarter on this basis were also quite strong. As mentioned, transaction recovery reached 71% versus 2019 pro forma. Revenue recovery reached 72% in the third quarter, one point above transaction recovery. We continued to experience a higher level of cancellations, and air recovery was still trailing hotel recovery in the third quarter. However, higher average ticket prices versus 2019 and improved revenue yield had a positive impact on the revenue versus transaction recovery. On a pro forma basis, transaction volume increased by 101%. TTV improved by 173%, as compared to the third quarter 2021, driven by higher fares and international recovery, which is now on par with domestic recovery. Total revenue increased by 101%, as compared to the third quarter 2021 pro forma, consistent with transaction volumes. Adjusted EBITDA, on a pro forma basis, improved by $163 million, comparing favorably to $245 million improvement in revenue. This represents a strong fall-through margin versus 2021 pro forma of 67%, a 4 point improvement from the second quarter. Now let me turn to cash flow. So as expected, we significantly reduced our cash usage in the third quarter as the pace of recovery continued at a more steady rate. Our cash usage was $112 million in the third quarter, a $64 million improvement from the second quarter, driven by lower build in working capital. As you heard from Paul, our transaction volume increased by 43% between July and September, which drove an $82 million increase in working capital in the third quarter. We expect working capital consumption to continue to decline going forward, as we expect a more moderate pace of improvement in the business travel recovery than we’ve experienced over the first three quarters of 2022. We continue to expect to turn Free Cash Flow positive during 2023 as demand continues to recover and working capital build normalizes. As of September 30, 2022, we have a cash balance of $312 million and Net Debt of $909 million. And finally, we are pleased to report we completed our warrant exchange that increased the number of shares of common stock available for trading within a simpler capital structure. Additionally, approximately 394 million shares of Class A common stock, issuable upon exchange of Class B shares held by legacy shareholders, will be eligible for sale on November 23, 2022. And to the extent these holders choose to resell their securities, we expect that this will also improve public float and the efficiency of trading in our stock. Let me turn now to our full-year 2022 guidance, which as you heard from Paul, we have reiterated. Our third quarter performance and our current recovery trends give us confidence we will finish the year in line with our previously issued guidance, which called for full year 2022 revenue of $1.8 billion to $1.85 billion and Adjusted EBITDA of $90 million to $100 million. As a reminder, our revenue guidance is equivalent to a full-year revenue recovery of 64% to 65% of 2019 pro forma revenue, which essentially implies expectations for a Q4 revenue recovery largely in line with the third quarter. And I will now turn it back to Paul to share initial thoughts on how we are thinking about 2023.
Paul Abbott: Thanks Martine. Looking beyond the end of this year, we are currently working through our 2023 planning process. And while we aren’t ready to establish 2023 guidance at this point, I wanted to provide some insight into how we’re thinking about 2023. We obviously recognize that the macroeconomic outlook for 2023 has become more challenging over the last few months, but it is frankly difficult to predict the impact this may have on business travel demand in 2023. As we have shared before, business travel demand has grown at or above GDP for decades, so it is logical to assume some impact if GDP continues to slow or decline. However, we are in unique circumstances and there are several strong tailwinds for 2023.First of all, the business travel recovery continues, and our customer outlook remains strong. A survey of our top 125 customers in October reported that 95% expect their 2023 business travel spend to increase or stay flat to 2022. Also, an October survey conducted by Morgan Stanley of 100 global travel buyers predicted travel budgets for 2023 to be approximately 98% recovered versus 2019, and that was up from 94% in their midyear survey. Positively, nearly half of the respondents in that survey expect 2023 budgets to increase versus 2019. Second, distributed teams and the hybrid work model are creating new business travel demand as companies bring their people together for training, motivation and collaboration. And we already see this in our current Meetings & Events results, as well as our customers’ Meetings & Events forecasts for 2023. Third, we do expect airline capacity to improve throughout 2023. And this incremental supply will support increased demand. And fourth, we expect to continue to gain share, including momentum in the SME segment and continued momentum converting unmanaged travel spend to managed travel spend. Overall, while our planning is not yet complete, our current view is that we will continue to see solid growth in 2023, and we are at this point, planning for a revenue recovery in the high 70s in 2023. Finally a summary of our strategic priorities and progress. We are focused on what we can control: executing on our strategic priorities and ensuring our business model is set up to deliver expected returns. When we started the process to become a public company in 2021, we shared these strategic priorities with investors. I’m pleased to say we are delivering on these priorities. First of all, business travel recovery momentum continues. Transaction recovery has continued to improve each quarter this year and into October reaching 76%. Second, the reason our recovery is ahead of the industry is because of the share gains we are delivering. We continue to gain share and outperform the industry, which is proven by our 2.5 to 1 win/loss ratio and New Wins Value of $4.1 billion. Third, we said our focus on winning in the SME segment would accelerate growth, and our results show strong progress. SME New Wins Value for the last twelve months through the end of October totaled $2.5 billion. We also said we would unlock the unmanaged SME opportunity and we are, with approximately 25% of the new wins value and 50% of the customers coming from the unmanaged segment. And you can also see the impact in our SME transaction recovery rate, which reached 80% of 2019 in the third quarter. Fourth, we are delivering on M&A synergies. We expect $109 million in total Egencia synergies. We are on track to exceed the expected target of $25 million this year. To date, we have executed on 70% of the total $109M expected synergies. Fifth, we outlined permanent cost savings that will drive margin improvement as the recovery continues, and as I mentioned, we have currently realized 80% of the $235 million permanent cost savings. And finally, and importantly, margin expansion. Our financial results are on track to deliver Adjusted EBITDA growth and margin expansion. We delivered 67% Adjusted EBITDA fall-through in the third quarter, which means as revenues increase, the business model is delivering the target profitability. Together, all of this progress gives us confidence that our business model is delivering, and that we are set up to achieve pre-COVID Adjusted EBITDA when we achieve 86% revenue recovery, with even stronger results beyond that. We look forward to sharing a more complete view of our expectations for 2023 once our annual planning process is completed. Thank you very much for your interest. We will now open for questions.
Q - Toni Kaplan: Thank you. I wanted to follow up on the 4Q EBITDA guidance. It looks like at the midpoint, the guidance is below 3Q. And just wanted to understand if it was due to seasonality or what factors might be driving that just because it seems like you're optimistic on continued recovery in this quarter, as you just mentioned, the EBITDA fall-through was very good. So just wanted to understand why the moderation in 4Q EBITDA? Thanks.
Martine Gerow: Toni. Thank you for the question. So it's really seasonality in the fourth quarter has some of our two lowest months we see in November and December. And if you look at the fall-through that is implicit in that guidance, the fall for the fourth quarter is actually 70%. So same profitability trends, but a much lower revenue base because it's the fourth quarter.
Toni Kaplan: Terrific. And I wanted to also ask if you could help us with some of the puts and takes about free cash flow for 2023. I know, Martine, you mentioned in the prepared remarks, you expect it to be positive and helped by working capital. Just I guess what's embedded with regard to interest expense headwinds, tax, some of the items that are below the line? Thanks.
Martine Gerow: Sure. So we expect our working - we think our cash flow to turn positive at some point in time during 2023. We're still working through our 2023 planning, so determining exactly when that will take place. We're still working through that. And you should have in mind that there is seasonality in our cash flow as well. With respect to interest rates, given the structure of our debt, interest rates is likely to be in the 10% range, if you assume LIBOR 4.5% next year, given that part of our 60% of our debt is actually swapped, that's probably equates to $120 million of interest for next year.
Toni Kaplan: Terrific. Thanks so much. Appreciate it.
Operator: Thank you. The next question comes from the line of Lee Horowitz of Deutsche Bank. Please proceed.
Unidentified Analyst: Thanks for taking the question. This is Sharrie Sawn [ph] n in place of Lee Horowitz. And thanks for the additional color that you provided on the overall macro environment. It strikes us that your 2023 outlook, obviously incorporates some of the macro concerns that we're seeing across the economy. And with this in mind, how do you think about managing your headcount relative to the fairly benign recovery that you're expecting next year? And relatedly, how do you think about investments to the extent if macro environment proves to be a little bit more challenging than what you're currently expecting? Thanks.
Paul Abbott: I think the way that we look at that is, obviously, we're still operating in an environment where there's a fair amount of uncertainty. So we have to make sure we've got flexibility in the model. And I think we've demonstrated that we have that flexibility in the past. As Martine mentioned and I mentioned in my prepared remarks, the important element for us is to make sure that we're delivering the right level of fall-through. We can't predict with absolute precision exactly what the revenue recovery is going to be in '23. What we can make sure is that whatever that revenue recovery is that we are -- that the business model is converting that revenue into the appropriate level of margin and profitability. So we will manage our expenses to ensure that we deliver the fall-through that we need. That's essentially how we look at it.
Unidentified Analyst: That's very helpful. And also just another question related to another point that you made about distributed teams being tailwind [ph] to your business moving forward. Just curious if there is any way that you can help us better understand the size of the tailwind through these kind of new hybrid working environment has been to date and sort of how you expect this - like what kind of incremental benefits that we're going to see from this going forward?
Paul Abbott: Yes. Look, it's a great question. I don't know how to put a finite dollar number on it. But what I can say is that our Meetings and Events Group, we have a division that focuses specifically on meetings for under 50 people. And that is already above 2019 levels. And in a recent survey that we did with our customers on 2023 M&E forecast, we're also seeing projections for 2023 above 2019. So we definitely have data points that I think prove that the trend is real. But being able to size it and honestly isolate exactly what share of the recovery that represents is very challenging.
Unidentified Analyst: Got it. That’s very helpful. Thank you.
Operator: Thank you. The next question comes from Steve Ju of Credit Suisse. Please proceed.
Steve Ju: Thank you. So just briefly on the SMB segment. So why do we think the recovery for the SMBs are at - I think you said that it's 80% versus 2019 is so far ahead of the rest of the industry overall at 71%. And does this mean that the recovery for, say, your larger clients are still lagging the overall industry. So I guess there's more sort of white space ahead for the recovery. And I guess what is the strategy to convince the SMEs who may be using perhaps one of the OTAs to book something that they really need to use your products? Because in order for you to serve as a replacement, it has to be materially better than what they are used to using? Thanks.
Paul Abbott: Sure. Yes. Well, I think there are a number of factors as to why the SME segment is outperforming global multinational. I think the SME segment has actually for many years, been a faster-growing segment. Secondly, we are gaining share in that segment. So that's a factor. Third, we are seeing this conversion from unmanaged to managed travel, which is a factor. And I think finally, small to midsized companies have frankly been quicker to get back to a kind of operating model post-COVID than some larger companies that have been a bit slower to return to office and just slower and more cautious in terms of returning to travel. So those are, I think, the main reasons as to why the SME segment is outperforming. But that's a trend we expect to continue. That's why really through 2019 and 2020, we placed a series of bets on the SME segment, expanding our own sales force with the purchase of agency innovation to make sure that we have essentially the market-leading solutions for SME customers and different sub-segments of the SME customer base. Now in terms of why a customer would move from an OTA or from an airline direct to proper managed travel program, I think there are several key reasons. First of all, savings, access to our preferred extras content delivers significant savings. First of all, you're getting access to a marketplace that has the most comprehensive and the most competitive content in the industry. You're not going to a single supplier site, you're getting the most comprehensive, most competitive content in the industry. On average, our SME customers book our own negotiated content or unique rates 40% of the time. So they're getting significant savings. Secondly, they're getting far superior service. I don't know if you've tried to contact an OTA, if your flights canceled or you're facing some disruption, it's a pretty transactional experience. We offer high-quality 24/7 support, mobile desktop voice integrated around the world. So you're getting significant savings you're getting significantly improved service. And also, you're getting reporting and benchmarking and analytics that help the company manage the spend, you're getting full transparency of your spend across the entire company, which you're not going to get if your employees are all out there doing their own thing on various supplier or OTA websites. So those are the three key reasons. And honestly, they're very, very compelling. You get better savings, you get better service and you get full transparency and management of your company spend.
Steve Ju: Thank you.
Operator: Thank you. The next question comes from the line of Duane Pfennigwerth of Evercore ISI. Please proceed.
Duane Pfennigwerth: Thank you. I wanted to ask you about the intermediate term shape of corporate recovery. So not theoretical 2023 but things you can actually see in your bookings. We've seen a nice sequential pickup since the summer here into September and into October. Do you think we plateau at these levels until early next year with new budget cycles? Or are there geographies where you expect sequential improvement here into 4Q?
Paul Abbott: Yes. Well, I think in this environment is always difficult looking ahead and making accurate predictions. But I do think - I'd refer you back to the tailwinds that I mentioned earlier. I mean I was doing that in the context of 2023, but I think they're all relevant in the context of Q4 as well. I mean more specifically, in the fourth quarter, if you look at October, I think travel restrictions on the 1st of October are removed in Canada. I think we saw travel restrictions and quarantine removed in Singapore and Hong Kong. We've also seen Japan open up very recently. And so the impact of those markets and routes opening up, we've not really seen in the third quarter, you're going to see some benefit from that, I think, in the fourth quarter. So, so far, we are not seeing kind of an impact of the macroeconomic conditions in the recovery numbers. As I said before, the recovery has strengthened in September. It strengthened again in October. Now what I can't say is if macroeconomic conditions were different, we would be at 80 or 82. That's obviously speculation. But what we continue to see is signs of good solid recovery through September and October. And I think we have still some tailwinds that should carry us through the fourth quarter and into 2023.
Duane Pfennigwerth: That makes sense. Thank you. And then just for my follow-up on staffing, are you finding it easier to hire where are you on staffing relative to optimal maybe at this point in time versus, say, the second quarter? Are you catching up?
Paul Abbott: Yes. We have absolutely the number of target headcount that we were expecting at this point in time. We have done a lot of hiring in order to staff up for the peak, which was really September, October. So we are now focused on training and improving the productivity of the people that we have brought into the organization. But broadly speaking, we have the headcount that we need to carry us through the next period. So yes, I mean we've been able to hire the number of people that we acquired.
Duane Pfennigwerth: Thank you very much.
Operator: Thank you. There are currently no additional questions registered at this time. [Operator Instructions] There are currently no additional questions registered at this time. So I will pass the conference back over to the management team for closing remarks. Barry Sievert Well, finally, thank you very much to all of you for joining us today. And in closing, I would like to extend thanks to our team across Amex-GBT for their dedication to our customers and the strong results that they've delivered. Thank you, all of you for joining us. We look forward to continuing to update you in the future.
Operator: That concludes the conference call. Thank you for your participation. You may now disconnect your lines.